Rob Fink: Greetings, everyone, and welcome to the electroCore Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to introduce you to your host, Dan Goldberger, electroCore's Chief Executive Officer. Dan?
Daniel Goldberger: Thank you all for participating in today's electroCore earnings call. Joining me today are Dr. Thomas Errico, one of our founders and investor and our newly elected Chairman; Joshua Lev, our Chief Financial Officer; and our Investor Relations team from FNK IR. Earlier today, electroCore published results for the third quarter ended September 30, 2025. A copy of the press release is available on the company's website. I'd like to remind you that management will make statements during the call that include forward-looking statements within the meaning of the federal securities laws, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical facts should be deemed to be forward-looking statements. All forward-looking statements, including, without limitation, any guidance, outlook or future financial expectations or operational activities and performance are based upon the company's current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a list of the risks and uncertainties associated with the company's business, please see the company's filings with the Securities and Exchange Commission. electroCore disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information that is accurate only as of the live broadcast today, November 5, 2025. To begin, our Chairman would like to share a few thoughts on the company's strategy and future. Dr. Errico?
Thomas Errico: Thank you, Dan. Good afternoon, everyone, and thank you for joining electroCore's Third Quarter 2025 Earnings Call. My name is Tom Errico, and as the newly elected Chairman of the Board, it's an honor to address you today. As a founder, practicing physician, consistent investor and daily user of our noninvasive vagal nerve stimulation technology for over 15 years, I am deeply committed to our mission of transforming lives. Today, I'll outline our strategic vision and discuss the background behind our key shift to accelerate growth. Dan and Josh will follow with an in-depth review of our financial and operational performance. Let's begin. electroCore was established to modernize vagal nerve stimulation by developing a noninvasive technology, starting with our FDA-approved medical device for the prevention and treatment of migraines and cluster headaches. While I personally do not suffer from these conditions, I use noninvasive vagal stimulation daily. About 12 years ago, during investment meeting on vagal nerve stimulation in New York City, Dr. Kevin Tracey, the pioneer of VNS, was asked if he used the technology himself. At that time, he used an auricular device for at least 20 minutes a day. When questioned about this commitment, he answered, because it gives me a daily overwhelming sense of well-being. As a routine user of VNS, his words strongly resonated with me and helped explain the positive performance-enhancing effects I was experiencing. Fast forward a decade or so and research from Air Force Labs has further confirmed the remarkable performance benefits of noninvasive vagal nerve stimulation associated with electroCore's technology. As a practicing physician working with both adults and children, I encounter patients daily who could benefit from the substantial health and wellness impacts of VNS. Expanding access to this technology inspired us to launch Truvaga. As a microcap company listed on NASDAQ, we are uniquely positioned to innovate, although we contend with challenges related to scale and visibility. Previously, the company anticipated achieving positive quarterly cash flow from operations by the end of 2025. Along the way, opportunities emerged to significantly boost shareholder value by redirecting investments towards areas with higher growth potential. We were confident navigating this pivot, having experienced quarters with modest shortfalls but approaching positive cash flow on an adjusted EBITDA basis. After a thorough evaluation, the Board determined that maintaining the status quo would cap our growth and market penetration, failing to realize ECOR's full potential and meet shareholders' expectations. To accelerate progress, we executed targeted investments, completed a strategic acquisition, expanded our medical division through key hires, onboarded a new software AI partner to enhance our wellness app and welcomed 2 new Board members from Microsoft and Google. These immediate investments may slightly delay near-term profitability, but we are confident that they will set the stage for accelerated revenue growth in future quarters. We are managing these expenditures rigorously and strategically to ensure sustainable long-term value creation. To provide greater transparency and detail, our path to profitability would have likely yielded limited short-term gains, primarily from one FDA-cleared medical device within the VA and the single wellness product, Truvaga. Instead, we chose to defer profitability and invest in 3 priority areas: to broaden our product range; diversify revenue streams; and enhance long-term shareholder value. This intentional diversification also reduces customer concentration risk and is expected to increase electroCore's resilience over time. Pivot 1, the NeuroMetrix acquisition. We acquired the Quell portfolio, including a second FDA-cleared neuromodulation therapy from NeuroMetrix at a minimal upfront cost aside from the transaction expenses and a minor capped royalty. Quell Fibromyalgia gained FDA de novo authorization in 2022, becoming the first nondrug device indicated for fibromyalgia-related chronic pain. In addition to Quell Fibromyalgia, we added the over-the-counter Quell Relief brand to our platform. According to Persistence Medical Research via a Global Newswire article, global fibromyalgia treatment revenue reached $1.3 billion in 2022 with a projected CAGR of 7% to $2.7 billion by 2033. This acquisition diversifies our offering within the VA and meaningfully mitigates product risk in that channel. We launched Quell Fibromyalgia through our sales force in July, and its early performance has exceeded expectations. Third quarter and fourth quarter projected results should cover the full acquisition cost and support years of revenue growth. Dan will share more details on this. Pivot 2, strengthening our VA channel. Our foundation in VA medical sales is robust. Although we saw a temporary slowdown in Q4 2024 due to external macroeconomic and political factors, we navigated these headwinds effectively. VA revenue growth resumed, and we secured a new 5-year contract and upgrade from our previous 3-year agreement. We are selectively expanding our VA sales team and pursuing multiple strategies to boost adoption and drive growth within the VA. Beyond VA, there are short-term opportunities in certain managed care systems. Even though our therapy has been included in formularies, we recently finalized a contract that provides a clear route to access and coverage. We have made a modest investment in a dedicated sales team to create a sustained revenue stream. Pivot 3, developing our wellness division. We have enhanced our expertise in the Wellness division and strengthened our Board. James Theofilos, formerly at Microsoft and now at Google is a member of the Theofilos family, our largest investor, and I look forward to continued collaboration with him on the Board. More recently, we welcomed Elena Bonfiglioli from Microsoft to our Board. She brings expertise in artificial intelligence, international product development and wellness. Her insights are shaping our approach to developing integrated software applications for our wellness products. Through her introduction, we partnered with StratejAI, a European software and AI firm to build software that complement Truvaga and Quell, providing users with personalized data-driven experiences and potentially generating new recurring revenue streams. We're not just participating in the $600 million global VNS market. We're targeting the fast-growing noninvasive category, aiming at an $80 million to $120 million global wellness opportunity with Truvaga and Quell. If we succeed in building out AI integrated software, we could establish a recurring revenue model in a market growing 15% annually with data supported by InsightAce Analytics and Global Wellness Institute. Additionally, I want to mention another significant investor in electroCore, Stephen Zhang, an experienced China-based investor. electroCore is broadening its options outside the U.S. through a royalty-based arrangement with his company to commercialize electroCore products in China. Time lines for approval and commercialization depend always on local regulatory processes, but this arrangement requires no capital investment from ECOR. Regulatory and commercialization efforts fall to the licensee. We appreciate Mr. Zhang's ownership and enthusiasm for our products. This teamed with Ms. Bonfiglioli's residents and connections in the EU and the Middle East, we have made a direct decision to broaden our opportunity outside of the U.S. Dan can provide more specifics. As a founder, investor and daily user of noninvasive VNS, I remain confident that prioritizing focused investments over immediate quarterly profitability is the right long-term strategy for our shareholders. Dan will outline our revised time line shortly. The Board's decisions are intended to transform how people manage their health by merging the ancient practice of neuromodulation with cutting-edge AI and data technology. In summary, electroCore stands at a pivotal moment. Through acquisitions, expanded channels, board enhancements and advanced software integration, we aim for sustained growth and broader impact. We are evolving into the company we always aspire to be. Thank you for the ongoing support from our shareholders, employees and users. I look forward to what the future holds. I'll now hand things over to Dan for a detailed review of our quarterly performance. We welcome your questions. Thank you. Dan?
Daniel Goldberger: Thank you, Tom. Turning to the details on the third quarter. electroCore delivered another strong performance, extending our growth trend and strengthening our foundation for scale. The VA hospital system remains our largest customer and continues to grow. Following the closing of the NeuroMetrix acquisition on May 1, 2025, Quell is showing strong early traction as a noninvasive pain therapeutic for fibromyalgia in the VA hospital system. Truvaga sales also returned to growth, driven primarily by our e-commerce store at www.truvaga.com and an expanding network of affiliates who actively promote Truvaga to their audiences. As Dr. Errico noted, electroCore pioneered noninvasive vagus nerve stimulation. Today, we are broadening that innovation into a suite of noninvasive bioelectronic technologies that improve quality of life for patients and for wellness consumers in the United States and select international markets. Science and data continue to guide every step we take. In the third quarter of 2025, revenue reached a record $8.7 million, up 33% year-over-year and 18% sequentially. Gross margins remained strong at 86%, up slightly from 84% last year. We model gross margins in the mid-80s going forward. Prescription device revenue grew 19% year-over-year to $6.8 million, driven by both gammaCore and Quell sales in the VA hospital system. As of September 30, 2025, 195 VA hospital facilities have purchased prescription gammaCore products, up from 166 a year ago. The VA Headache Centers of Excellence estimates approximately 600,000 patients are being treated for headache in the VA hospital system, including approximately 24,000 cluster headache patients. We have now dispensed 12,000 gammaCore devices, roughly 2% of the addressable VA headache market, with additional opportunity among patients experienced headaches related to PTSD and mild traumatic brain injury. We believe there are as many as 550,000 fibromyalgia patients in the VA hospital system based on published incidence and prevalence data. NeuroMetrix has dispensed less than 700 Quell fibromyalgia stimulators since launch in 2024. So we believe there's plenty of room to grow here as well. We plan to continue growing our VA hospital business by adding W-2 and 1099 staff in select locations through 2026. While the VA remains our largest customer, we are also investing in sales talent to focus on a large commercial managed care system. In the third quarter, our DME distributor, Joerns, was finally able to add gammaCore Sapphire to their contract with that managed care system. This step could remove a lot of the friction prescribers have faced and opens an additional pathway for growth. Health and wellness product revenue reached $1.9 million, a 54% increase sequentially and 121% year-on-year. That includes a $500,000 onetime Truvaga order for a third-party clinical trial. Excluding that transaction, Truvaga revenue grew 18% sequentially and 79% year-on-year. We believe this return to sequential growth is a result of the shift away from Amazon and the team's increased focus on driving sales through other direct-to-consumer platforms. Return on advertising spend, or ROAS, ROAS for the period was approximately 1.80, meaning for every $1 spent on media, we generated nearly $1.80 of revenue. Return rates across our e-commerce platforms are approximately 11% to 12%, consistent with prior periods. We have sold more than 19,000 Truvaga handsets, powering more than 1.6 million user sessions on our mobile app. We plan to continue making marketing and promotional investments in our Truvaga platform to drive growth in 2026 and beyond. For example, national media outlets like Women's Health and Men's Health have been driving website traffic. Miranda Kerr mentioned Truvaga on The Skinny Confidential podcast this month. Affiliates like TruMed, Ben Greenfield and Luke Storey have been promoting Truvaga and Truvaga will soon be available through online retail outlets like Best Buy and Rehabmart. We expect to add new use cases in target demographics for our nVNS products and launch additional health and wellness offerings such as Quell Relief for lower extremity pain. In addition, on the recommendation of our new Board member, Elena Bonfiglioli, we've begun developing our next-generation application to complement Truvaga and Quell, creating personalized data-driven user experiences and potentially a new recurring revenue stream. Based on the opportunities in front of us, we are investing now in people, marketing and product to accelerate growth and drive scale in '26 and 2027. As Dr. Errico described, this is a strategic decision to prioritize growth and long-term value creation, delaying company-wide profitability as measured by adjusted EBITDA until the back half of 2026. We believe that a Truvaga copycat from Eastern Europe has been infringing our patents and trademarks. You may have seen some filings in the Federal Court in the District of New Jersey about our escalating dispute. The case is ongoing, and we will refrain from commenting beyond the public filings. Josh will discuss operating expense, cash trajectory and guidance in more detail later in the call. However, our cash balance as of September 30, 2025, was $13.2 million. We used approximately $1.5 million in the 3 months ended September 30, 2025, and a total of approximately $6.5 million in the first 9 months of the year to fund operations. We forecast a pro forma cash balance at December 31, 2025, at approximately $10.5 million. Let me return to the 3 pivots that Dr. Errico mentioned earlier. The NeuroMetrix acquisition closed on May 1, 2025, was integrated and launched in our VA hospital channel ahead of schedule and has exceeded our revenue expectations. We had to increase our estimate of future royalties due to the legacy NeuroMetrix shareholders because revenue is ahead of plan, resulting in a noncash hit to EPS of about $0.05 per share. That's actually great news even though it negatively impacted our income statement. We're strengthening our VA hospital sales channel by adding talent in key geographies. We are further investing in developing a parallel channel through a large managed care system. We're strengthening our wellness initiatives through the addition of key people, recruiting influencers, affiliates and new outlets and investing in products. Quell Relief for lower extremity pain could be an exciting new offering in our direct-to-consumer channel. I expect that operating expenses will increase as we scale marketing and sales. Accordingly, the quarterly revenue required to reach cash positive operations is expected to rise. On our August 25 earnings call, we indicated that approximately $12 million in quarterly revenue would cover our OpEx plan and support positive cash from operations as measured by adjusted EBITDA. Based on our current trajectory, we believe that we can achieve these levels and deliver positive adjusted EBITDA in the second half of 2026. Just to summarize our guidance. First, we are increasing full year 2025 revenue guidance from $30 million to $31.5 million to $32.5 million. Second, we expect to have approximately $10.5 million of cash at December 31, 2025. Third, we believe that the business can achieve cash positive operations as measured by adjusted EBITDA at approximately $12 million in quarterly revenue. Fourth, we expect to reach $12 million in quarterly revenue and positive adjusted EBITDA in the second half of 2026. And finally, we expect to use approximately $5 million of cash to fund operations in the first 9 months of 2026, after which we expect the business operations will become self-funding. Now I'll turn the call over to Josh for a review of our financials and select guidance. Josh?
Joshua Lev: Thank you, Dan. Net sales for the third quarter of 2025 were $8.7 million, an increase of 33% as compared to $6.6 million for the third quarter of 2024. The $2.1 million increase was driven primarily by higher sales of prescription devices and growth in the company's non-prescription general wellness Truvaga product. Gross profit for the third quarter was $7.5 million as compared to $5.5 million for the third quarter last year. Gross margin was 86% compared to 84% for the third quarter last year. Research and development expense in the third quarter was $662,000 as compared to $521,000 in the third quarter last year. This increase was primarily due to increased development costs associated with our next-generation health and wellness mobile application in the 3 months ended September 30, 2025, as compared to the 3 months ended September 30, 2024. Selling, general and administrative expense was $9.7 million for the 3 months ended September 30, 2025, an increase of $2.1 million as compared to $7.6 million for the previous year. This increase was primarily due to greater investment in selling and marketing costs, consistent with the company's increase in sales. For the remainder of 2025, the company plans to continue to make targeted investments in sales and marketing to support its commercial efforts. Total operating expenses in the third quarter were approximately $10.4 million as compared to $8.1 million in the third quarter last year. Total other expense was $521,000 for the 3 months ended September 30, 2025, which consisted primarily of $384,000 of acquisition-related costs in connection with the change in the estimated liability payable to pre-closing shareholders of NeuroMetrix pursuant to a contingent value rights agreement or CVR, and $150,000 of interest expense on the convertible debt financing with Avenue Capital. This compares to total other income of $154,000 for the 3 months ended September 30, 2024, which consisted mainly of interest income. GAAP net loss in the third quarter of 2025 was $3.4 million or a loss of $0.40 per share as compared to net loss of $2.5 million or a loss of $0.31 per share in the third quarter of 2024. The increase in net loss is primarily attributed to an increase in other expense related to the CVR liability and interest expense on the convertible debt financing with Avenue Capital. GAAP net loss per share includes a loss of $0.05 per share and $0.02 per share attributed to the CVR liability and interest expense, respectively. Adjusted EBITDA net loss in the third quarter of 2025 was $2 million as compared to adjusted EBITDA net loss of $2.1 million in the third quarter of 2024. A reconciliation of GAAP net loss to non-GAAP adjusted EBITDA net loss has been provided in the financial statement tables included in today's press release. Cash, cash equivalents, restricted cash and marketable securities at September 30, 2025, totaled approximately $13.2 million as compared to approximately $12.2 million as of December 31, 2024. On August 4, 2025, we secured a term debt facility with Avenue Capital, providing approximately $7.2 million of net cash at closing. Additional details on the Avenue Capital facility can be found in our filings. On October 2, 2025, we closed a small private placement with certain institutional investors in satisfaction of an aggregate of approximately $1.9 million of legal services rendered or to be rendered to the company by the investors. Our balance sheet has been strengthened by these transactions, and we have no plans to access the capital markets at this time. For the full year of 2025, the company is increasing its revenue guidance to $31.5 million to $32.5 million and a cash balance of approximately $10.5 million as of December 31, 2025. And now I'll turn the call back over to you, Dan.
Daniel Goldberger: Thank you, Josh. I echo Dr. Errico's enthusiasm about the future of electroCore. We continue to report above-market operating results. Prescription device sales continue to grow with sales of both our gammaCore and Quell Fibromyalgia products. Our strategy of offering a suite of bioelectronic products and technologies into our established channels is developing nicely. Demand for prescription devices in the VA hospital channel is driven by clinical data and our increased presence in the field. The launch of prescription Quell Fibromyalgia has exceeded our expectations. We plan to hire additional W-2 territory business managers to increase adoption of our technologies in the VA hospital system as well as dedicating resources to accelerate adoption in managed care systems. We currently have approximately 80 sales agents, including sub reps, managed by an internal sales team of 16 salaried employees. Truvaga Plus has been favorably received by the market since its April 2024 launch. The brand continues to show tons of potential as a direct-to-consumer general wellness offering and has returned to sequential growth. We sell Truvaga products direct-to-consumer through our e-commerce site, www.truvaga.com, and through Truvaga partners like Ben Greenfield, Perks at Work, TruMed, Rehabmart, Best Buy Online and through a growing number of affiliates and influencers. We continue exploring the expansion of the Truvaga proposition through new product offerings and have begun development of our next-generation mobile application. We believe the Truvaga brand has potential to become a significant player in the health and wellness space, and the evolution of the brand is important for providing shareholders with long-term value. For the third quarter of 2025, our sales and marketing expense increased sequentially by approximately $640,000, while sales grew by roughly $1.3 million, demonstrating operating leverage in spite of those increased investments. The acquisition and integration of NeuroMetrix exceeded our expectations. Adding products like Quell Fibromyalgia into the prescription VA channel allows our field sales team to offer a growing suite of bioelectronic self-administered therapies for certain debilitating conditions. As we continue to add new products to our established channels, we'll also continue working towards additional indications for prescription gammaCore to treat post-traumatic stress disorder and other clinical opportunities. In summary, I believe we are poised to accelerate growth and we'll be increasing our investment in the high-margin prescription device space to help underwrite investments in the health and wellness channel. With our current cash position, we believe we have access to sufficient liquidity to execute this plan as we get closer to breakeven in 2026. At this time, I'll return the call to the operator. Operator, please open the line for questions.
Rob Fink: Thanks, Dan. We're now going to open the line for Q&A. [Operator Instructions] But just note, if we run out of time and have a constraint, someone from the IR team will get back to you if your question is not asked on today's call. With that, we're going to go and open up the call, and we'll start with Jeff Cohen from Ladenburg.
Jeffrey Cohen: Sorry, can you hear me okay? Just a couple of quick questions for you. So firstly, congrats on the Quell in both the VA channel as well as the other channels. Can you remind us previously what channels NeuroMetrix was selling into before the acquisition?
Daniel Goldberger: So the prescription Quell for fibromyalgia was sold in 4 or 5 VA hospitals off contract through open market access prior to the acquisition. And there were a few cash pay customers who were served through HealthWarehouse, which is a PDM, but small numbers.
Jeffrey Cohen: Okay. Got it. Can you give us any further color on the [indiscernible] Truvaga sale for a clinical trial? I'm assuming one clinical trial.
Daniel Goldberger: Yes. It's one clinical trial that's being run in long COVID subjects. There are a variety of other therapies that are being evaluated. It's a pretty large trial. Candidly, we don't know very much about it because it's an investigator-initiated trial, and they really didn't share the protocol with us, et cetera.
Jeffrey Cohen: Got it. Okay. And then lastly, talk about the next-gen mobile app that you're working on. I'm assuming it's software-only, and will it be usable for all your platforms being gammaCore, Truvaga and Quell?
Daniel Goldberger: So great question. So the next update of our app will be Truvaga Plus only. It will work with the legacy Truvaga Plus that we've been selling since inception in April of last year, but it is not set up to work with gammaCore or Quell. Quell has its own app, mobile app environment. As we wrap our arms around it next year, we're going to look at harmonizing the various mobile apps for vagus nerve stimulation and for the Quell fibromyalgia apps, but that's going to take us a little bit longer to get our arms around it.
Rob Fink: Our next question comes from RK of H.C. Wainwright.
Daniel Goldberger: RK, are you there?
Swayampakula Ramakanth: Can you hear me, Dan?
Daniel Goldberger: Yes.
Swayampakula Ramakanth: And thanks to Dr. Errico for giving those comments, which is really helpful for us. So I have a few questions. So let me start off with a high-level one in terms of how the strategy of acquisition of Quell fibromyalgia seems to be doing much better than what we were in internal expectations? So can you kind of comment on what's helping this product especially in the VA space? And what sort of learnings do you have at this point that you can help the next class of salespeople that you're going to bring on board?
Daniel Goldberger: Great question. Thanks, RK. So the time line is that -- in May and June, we did 2 things. We moved the production facility down here to Rockaway, New Jersey, and we were able to add prescription Quell for fibromyalgia to our VA hospital contract. Once we did that, once we had product and contract in June and July, we were able to start training our sales team. They, in turn, were able to start demoing the product to their accounts. And the uptake has been much faster than we expected. Our primary headache call point is neurology. The primary call point for fibromyalgia is rheumatology, but both of those cross over in pain and in polytrauma. And we've been very upside surprised at the willingness given the safety profile that we've already demonstrated with gammaCore, the safety profile of the NeuroMetrix, Quell for fibromyalgia. The folks in pain and polytrauma have been very quick to adopt the fibromyalgia solution. Part of it is the safety profile. The other is that fibromyalgia patients don't have a lot of other options. It's a surprisingly unmet clinical need.
Swayampakula Ramakanth: Fantastic. So thanks for actually telling -- giving me commentary on what is causing that pull. So now that you have it in the VA segment. Is it -- how easy is it to replicate in other areas, other segments, especially like the Kaiser Permanente or other hospital systems given the knowledge that you have now?
Daniel Goldberger: So we're going to do that carefully. We've just got on contract at a large managed care system. I'm not allowed to say Kaiser. But that contract is specific for gammaCore Sapphire. We have not even attempted to bring Quell fibromyalgia to that system. But obviously, that's something that we're going to do once we gain traction with Kaiser.
Swayampakula Ramakanth: Perfect. And then maybe you made some comments that I didn't listen. I was looking on some commentary on TAC-STIM and what is -- what should be our expectations in terms of Air Force procurement and not just for this year, for the next 45 days, but thinking about '26, I do understand it is a lumpy business, but just trying to get a feel for things.
Daniel Goldberger: Yes. So it's a tale of 2 cities. The anecdotes, the research, the use cases that we hear about from Army and Air Force is incredibly enthusiastic, but the actual revenue generation continues to be small and lumpy. We did roughly $140,000 of revenue in the September 30 quarter for TAC-STIM products sold to active duty military. The current quarter, the fourth quarter has come to a screeching halt largely because of the government shutdown. I think we will get some orders in November and December, pending, of course, the government opening up, et cetera, et cetera. Our internal forecast for 2026 is about $400,000 for the full year, similar to the sort of $100,000 per quarter pace that we've had in 2025. There's huge upside, RK. I just can't -- and we're talking -- we're in conversations about some very large orders, but I just have no credibility to say what the timing of those orders is going to be. So we're going to be conservative for 2026.
Swayampakula Ramakanth: Okay. And then last question from me is as Dr. Errico was talking about China, how meaningfully in a higher market is that going to be? And how do you really plan to commercialize that opportunity?
Daniel Goldberger: So great question. We, as electroCore, do not plan to commercialize it at all. Mr. Zhang now owns roughly 10% of electroCore. He has a license to commercialize our technology in China and only in China for the time being. He seems to have significant resources, financial and access to product development and access to manufacturing. And what he has shared with me is that he plans to go through the CFDA process in China with a product that uses our technology, but of his own design, it will be manufactured in country and will pay us a royalty on unit sales and revenue.
Rob Fink: Our next question comes from Jeremy Pearlman of Maxim Group.
Jeremy Pearlman: Okay. Can you hear me?
Daniel Goldberger: Yes.
Jeremy Pearlman: Congrats on the quarter. Just firstly, the current growth, let's say, just specifically the VA segment, is that coming from more new accounts or increased utilization from existing customers?
Daniel Goldberger: It's both, right? We're going deeper into our existing customers. We added what -- almost 40 new VA hospitals over the course of the last year. And so that's the leading indicator is opening up new hospitals. And then the Quell fibromyalgia project -- Quell fibromyalgia product was meaningful revenue in this quarter.
Jeremy Pearlman: Right. Is there an expectation for 2026, how many additional VA hospitals you hope to start prescribing in?
Daniel Goldberger: Yes. But it's a secret.
Jeremy Pearlman: Secret. Okay. Then for a year's time, we'll hopefully get that answer. And then maybe also, is there maybe -- could you tell us what specific geographies? You said there's only -- you've only tackled 2% of the potential patient population in the VA system. Where do you see the most growth potential geographical-wise?
Daniel Goldberger: So that's a good question. Right now, we are strong in Texas. We're strong in the Southeast and all up and down the West Coast. The New England, Mid-Atlantic, the -- we're pretty good in the Chicago area, but New England, Mid-Atlantic, the rest of the Midwest is all greenfield territory geographically for us.
Jeremy Pearlman: Okay. Understood. And then just maybe one more question related to your clinical development pipeline. In the past, you've talked about many other indications. Maybe any update on the progress of how any of those trials are going? And when we could expect maybe potential new indications?
Daniel Goldberger: Yes. So I've put -- we've been putting the most energy into PTSD, gammaCore in PTSD. And we had meetings with the FDA over the course of this year. We're still trying to convince them that the data that we have is adequate. But in the background, we're spinning up yet another pivotal trial in PTSD that will start enrolling next year. I don't think we needed to get the label, but even if we don't need it to get the label, it will be great for marketing support. And if FDA continues to be difficult, we'll have the additional data once and for all to get across the finish line. We've had a couple of publications about mild traumatic brain injury, what I know of as concussion. And so now we are doing some planning around what would it take to collect pivotal data to support a de novo submission around mild traumatic brain injury. So that's going to be a 2027 initiative. NeuroMetrix has quite a bit of data in neuropathy secondary to chemotherapy. And so we're going to look at whether or not we should go after a label extension for the Quell product line in that indication. And then there's intriguing data in low back pain that we'll take a look at as we get into 2026.
Rob Fink: Our next question comes from Walter Schenker of Maz Partners.
Walter Schenker: Just one quick question. My first comment is my wife and I do use the product every day and at least -- and we are very happy that we use it every day. So it can't hurt to have us do a plug through just our Chairman.
Daniel Goldberger: Thank you.
Walter Schenker: The Quell royalty is capped, which means that -- and this is actually a question that for the current year, since you just paid $400,000, you've largely paid and then incrementally, there should be minimal payments. And next year, it's capped at a lower level so that incrementally next year, the royalty payment will be less than it was this year. Is that correct?
Daniel Goldberger: Yes, in Spirit, what we didn't pay anything. We adjusted the estimate that flowed through the income statement and now sits on the balance sheet as a future liability. The payment, the cash doesn't go out until May or June of next year. But otherwise, the income statement effect, you are correct.
Walter Schenker: But the income statement, I understood, I should have stated it more clearly. The income statement effect both in the next quarter and in the coming year will be -- will decline?
Daniel Goldberger: Correct.
Walter Schenker: Year-over-year and quarter-over-quarter?
Daniel Goldberger: Yes.
Walter Schenker: And secondly, although someone asked the main question, I was curious about given how large the market is and given that your Chinese investor is a significant investor having filed on the company, just to further expand. So he is planning on moving forward as best you know, as a medical device, not as a consumer device.
Daniel Goldberger: Correct. He is moving forward as a prescription medical device for a really exciting list of indications. And what I should have mentioned to the previous caller is that given the clinical studies that he's planning to underwrite, we may be able to migrate some of his data back to the U.S. for additional indications.
Walter Schenker: And don't answer the question, if you don't owe me answer, I'm going to ask it anyway. As he looks at the Chinese market and given what you just said, their trials are as lengthy as ours. So even if he is very successful, we're talking substantial number of years before that data might be useful either in China or here...
Daniel Goldberger: That's my understanding. In headache and in PTSD, where the clinical trial protocol is pretty well understood, he can get up and running relatively quickly. But for some of the other like rheumatoid arthritis things that he wants to chase, it's going to take longer. But in any case, it's years, not months.
Walter Schenker: And lastly, not as a question, but as a comment, I was -- the most positive thing in this whole call for me is the fact that you have finally -- so it's a left-handed compliment or something. You finally meaningfully accelerated the penetration in the VA hospital system given the fact that there are -- we were at 10% penetration, and there's a lot of opportunity there if we can continue to expand the hospital penetration.
Daniel Goldberger: Very well said and thank you for the compliment. It was not left-handed at all.
Rob Fink: Okay, Dan, Josh, in our last few minutes here, we're going to try to bang out all of the texted-in questions. First, what is being done to combat the copycat marketing vagus nerve stimulation devices?
Daniel Goldberger: Yes. So there's a European company, they go by the name Pulsetto. We have sued -- they sued us for the declaratory judgment that they do not infringe our patents earlier this year. We very quickly filed a cross complaint that's not only do you infringe that patent, you infringe this laundry list of additional patents. And by the way, there are a bunch of trade-related and trademark-related cross complaints in all of that. The filings are in the in Federal Court District of New Jersey, and my lawyers will not let me comment beyond what's in those public filings. Obviously, since we are in litigation, we want to focus on winning and winning big. There may be other infringers. We've put them on notice, but we're going to focus on the pending litigation.
Rob Fink: Can you guys break out what neuro revenue contributions were for the quarter? The question came in from [Andrew Rem].
Daniel Goldberger: So Quell fibromyalgia or actually the full Quell line was $595,000 of net revenue in the third quarter.
Rob Fink: Okay. And how about on Truvaga. Can you -- did you break that out? Could you break that out on Q3?
Daniel Goldberger: I think we did, but it was $1,674,000.
Rob Fink: Okay. Well, everyone, thanks for your participation. Dan, I'm going to turn the call back to you for your closing comments.
Daniel Goldberger: Thank you, Rob. Thank you all for your time and attention. I know this was a little bit longer call. A special thank you to Dr. Tom Errico, our new Chairman, who has been a profound champion for this technology and for this company for many, many years. I want to thank all of our employees and sales reps out there that are working hard every day. I want to thank the folks in the VA hospital system and our other customers, but especially the federal workers who are struggling under this ridiculous government shutdown stuff going on right now. And yes, there's probably a bunch of other people I need to thank. But thank you all for your time and attention. Have a great day.